Operator: Good morning and welcome to the Matrix Service Company Conference Call for their earnings results for the third quarter ended February 29, 2008. (Operator Instructions) I would now like to introduce to you your host for the conference, Ms. Truc Nguyen, Investor Relations for Matrix Service Company.
Truc Nguyen : Thank you. I would now like to take a moment to read the following: Various remarks that the Company may make about future expectations, plans, and prospects for Matrix Service Company constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various factors including those discussed in our Annual Report on Form 10-K for our last fiscal year and (inaudible) filings made by the Company with the SEC. In addition, some of our comments today include non-GAAP financial measures. I encourage you to refer to the reconciliation of GAAP to non-GAAP financial results that is posted on our website and is included in our earnings release. I will now turn the call over to Michael Bradley, President and CEO of Matrix Service Company. Mike.
Michael Bradley: Thanks, Truc; and good morning, everyone. We appreciate you all of you joining us on the call this morning. Also on the call, we have Kevin Cavanah, Matrix Services Principal Accounting Officer. Before I get started with this conference call, I would like to discuss Les’ departure as Matrix Services CFO effective March 31st. Les has been a part of a very exciting chapter in the history of Matrix Service Company and with his help our Company has grown in size, earnings per share have increased, and our performance has improved. Above all, he built a strong financial team that is extremely capable and motivated. Our CFO search is going well, and we hope to complete this process as soon as possible. So let me start by saying that this is an exciting and promising time at Matrix Service. The markets we server are strong, and our business is moving forward and continues to gain momentum. Before turning the call over to Kevin to discuss the financial results in more detail, I have 6 key points that I will cover on the call today. First is our overall business performance, second an update on the LNG project, third details on our current backlog, fourth cash flow and stock buyback, fifth SG&A expenses, and finally the outlook and how fiscal 2009 is shaping up. First, we are very pleased to report that our overall business continued to perform extremely well during the third quarter of fiscal year 2008. On a consolidated basis margins widened to a 11.6% from 11.2% reported in the same period a year ago. Consolidated gross margins excluding the LNG charge were 14.6% in the quarter. Prepare maintenance margins increased to 15.7% versus 12.5%, and construction service gross margins were 9.5% as compared to 10.4% reported in the same period last year. However, construction services gross margin excluding the LNG charge, were 14% in the quarter. We are pleased with the overall growth in our revenues and our ability to continue to improve profitability. As discussed on the last conference call, we experienced a decline in revenues associated with both our electrical and instrumentation and turnaround services as was expected for fiscal 2008. Based on the activity we are seeing today, we anticipate revenues for both of these services to pick up in physical 2009. So in summary, we are very pleased with the overall performance of our core business and the outlook going forward. Next, I’d like to provide an update on the LNG Project. We are also very pleased to report that Matrix Service has successfully delivered tanks one and two on the originally contracted schedule dates to our customer. The Matrix staff on site is to be commended for turning this project around through a difficult environment and meeting our contractual commitments for tanks one and two. At this point in time, we are more than 92% completed on the project. We were able to accomplish this despite extremely challenging weather conditions which continue to plague the region. We believe that we also deliver the third and final tank on schedule. As stated in the earnings release, we recorded an additional charge of $2.5 million due to an increase in the forecasted cost to complete the project. These increased costs are primarily the results of delays caused by excessive rainfall and high winds with have continued to compress the schedule. Completing this project on time safely and in a quality manner is critical to our customer and for us as a Company to deliver on our promises. We have done this for tanks one and two and we expect the same for the final tank in the fourth quarter. Now turning to our backlog: Our focus in physical 2008 has been on replacing the LNG backlog with lower risk, higher margin opportunities centered around our core business. We have worked off approximately $45 million of LNG from our backlog since May 31, 2007, and we have more than replaced that with new business in AST, downstream petroleum and electrical and instrumentation reflecting a net $24.6 million increase to our backlog. Our backlog as of February 29, 2008, was $484.6 million as compared to $460 million at May 31, 2007, and we continue to add to this. As we work towards completing the LNG Project, we have started to shift our talent pool from this project into new businesses and future opportunities that we are currently negotiating on right now. We expect to see increase in our backlog in the coming quarters and will continue to update you on the progress. I do want to emphasize that we are focusing on building more profitable backlog to improve our earnings performance. During the third quarter Matrix Service also executed its pre-approved share buyback program and spent $12.8 million purchasing approximately 730,000 shares on the open market. The stock buyback executed during the third quarter demonstrates our confidence in the Company and its future prospects and represents our commitment to enhance value for our shareholders. These buybacks also reflect our strong belief that Matrix Services current share price does not reflect its fundamental value and the long-term earnings prospect of the Company’s business. As approved by our Board, we will continue to assess purchasing back shares on the open market when it is accretive to earnings. We also continue to look at accretive acquisitions to grow our earnings as well. The Company’s liquidity position remains strong and continues to improve as we increase our cash flow from operations, reduce our need for letters of credit, and expand our senior credit facility. As of February 29, 2008, the Company’s total liquidity is $74.9 million consisting of $8.3 million in cash and $66.6 million in availability under our revolving credit facility. Subsequent to the end of the third quarter, we reduced our outstanding letters of credit by $3.5 million and we expect to amend our revolving credit facility to increase availability by $25 million in the very near future, which will result in an additional liquidity of $28.5 million in the fourth quarter. Now I want to talk about SG&A. We communicated at the beginning of the year that our SG&A expenses would increase in fiscal year 2008. Our Company has grown significantly over the past couple of years and we’re adding key talent and staff along with support systems to continue to grow this business and expand our capabilities. We established an operating presence in Western Canada, which added to our SG&A, and we expect that business to expand and contribute to earnings growth in fiscal year 2009. The demand for our AST and steel plate structures business is strong and we’ve been expanding our engineering and fabrication capabilities to facilitate our growth and expand service offerings. We are adding to our leadership talent again to bring additional capabilities to expand and grow our business. We watch our SG&A like a hawk but need to position our talent-base and systems to support long-term sustainable growth. Excluding non-recurring expenses of $1.3 million primarily associated with a bad debt write-off, which was recorded in the second quarter, our SG&A forecast for the year is in line with our regional forecast. Finally, I would like to discuss the outlook for our business. In general, we continue to see increasing demand for our services. Our AST businesses, both new construction and repair maintenance remain extremely strong, and we see continued strength in these areas beyond 2009 based on discussions with our clients. We have added internal capacity to our engineering, fabrication, and operational teams in order to meet our client demand of faster delivery and increase our service capability. We are currently pursuing opportunities which include AST, construction, and repair maintenance in excess of $800 million over the next 12 to 24 months; and we just added a new alliance agreement associated with our work in above ground storage tank construction. In addition, we have seen significant up tick in activity related to the industrial gas facility, much more than we have seen in recent times. Opportunities related to refinery expansion and upgrades have also been very strong, and recently we renewed a refinery maintenance contract which is expected to generate revenues in excess of $150 million over the next year three years. As I mentioned, we have established an operating presence in Western Canada during fiscal year 2008. We believe there are significant AST opportunities with the key clients in this region for Matrix Service, and we expect to capitalize on these opportunities in fiscal year 2009. Our capital construction services outside of AST continue to have a steady backlog of work for key clients throughout the United States. We see emerging opportunities in power and are working to expand our capabilities and markets to continue to grow this element of our business. As previously communicated, we expect that lower revenues in downstream petroleum, prepared maintenance in fiscal year 2008 due to lower turnaround of maintenance demand in our core markets. We anticipate fiscal year 2009 to be a strong turnaround year as we are starting to see key clients commit to substantial turnaround work. Also expected, our electrical and instrumentation revenues were down; however, we are seeing increased activity in this segment and expect to see revenue growth and earnings growth related to this service in fiscal year 2009. In summary, we are pleased with our overall performance this quarter and are very excited about our future opportunities. Our operations and financial results continue to demonstrate the Company’s robust growth and potential, and we expect to keep this momentum going. We are pleased to be completing the LNG Project in accordance with our original contractual commitment and put this challenge behind us. We will continue to build upon the quality of our backlog and see a strong outlook based on key discussions with our long-term and new customers we are building relationships with. Very importantly, we remain focused on our operating excellence initiatives with a strong commitment towards improving profitability. I will now turn it over to Kevin who will go through the financial details.
Kevin Cavanah: Thanks, Mike. The specific details of the third quarter and the nine month year-to-date performance have been disclosed in our press release this morning, so I would like to highlight certain items for the Company and each of our operating segments. Total revenues for the third quarter were $181.1 million, up 7.4% compared to the third quarter of fiscal 2007. Net income for the third quarter of fiscal 2008 was $6 million or $0.22 per fully diluted share compared with $6.2 million or $0.24 per fully diluted share for the prior fiscal year. As Mike already stated, included in the current quarter results was a pretax charge of $2.5 million for additional cost overruns on our Gulf Coast LNG Project. The impact on earnings per fully diluted share for this charge was approximately $0.06. Trucks and services revenues for the third quarter of fiscal 2008 were $119.5 million, up 15.7% compared to the same period last year. Repair and maintenance services revenues were $61.6 million in the third quarter of fiscal 2008 versus $65.4 million during the same quarter of fiscal 2007. SG&A expenses increased to $10.9 million in the third quarter of fiscal 2008 versus $8.3 million in the same period last year. The increase was primarily due to employee related expenses and facility costs as we added staff to meet the demands of current and expected future growth both domestically and in Western Canada. For the 9 months ended February 29, 2008, Matrix Service reported consolidated revenues of $537.2 million, up 16.3% compared to the same period last year. Net income for the 9-month period was $12.5 million or $0.46 per fully diluted share compared to $17.2 million or $0.76 per fully diluted share in the prior year. Included in the current year results were pretax charges of $20 million or $0.44 per fully diluted share related to the LNG construction project, as well as additional pretax charges of $1.8 million related to a bad debt write-off in non-recurring employee benefit costs. Revenues for the construction services segment for the 9-month period were $334.6 million, up 27% compared to the same period last year. Repair and maintenance revenues increased $4.1 million in the 9-month period ended February 29, 2008, to $202.6 million. SG&A expenses increased by $6.1 million in the 9-month period ended February 29, 2008, to $30.8 million compared to $24.7 million in the same period last year. The increase was primarily to employee and facility related expenses incurred to meet the demand of current and expected future growth as well as the SG&A component of the non-recurring charges described earlier. Matrix Service has provided the necessary reconciliation in our press release to disclose a non-GAAP financial measure in this conference call. EBITDA is provided as we believe the financial and investment communities utilize this measure to assess our performance and evaluate the market value of companies considered to be in a business similar to ours. For the third quarter of fiscal 2008, EBITDA increased $12.4 million compared to $12.3 million for the same period last year. EBITDA for the 9-month ended February 29, 2008, was $26.5 million compared to $34.4 million for the year early period. Gross margins, excluding the LNG Project and other special items, have also been included on this call and in today’s earnings release. Management believes that operating results excluding these items are useful in evaluating operational trends for Matrix Service and its performance relative to our competitors. For the 3- and 9-month ended February 29, 2008, consolidated gross margins were 14.6% and 14.8% respectively excluding the LNG Project and other special items. The Company had no bank debt at February 29, 2008, and its cash balance (inaudible) $8.3 million. Matrix Service has utilized $8.4 million of the 5-year $75 million revolving credit facility for outstanding letters of credit. Cash capital expenditures during the first 9 months of fiscal 2008 totaled approximately $13.1 million. We now expect our capital spending for the full year to be between $19 and $21 million versus our fiscal 2008 capital budget of $31 million. This reduction in capital spending is primarily due to the deferral of certain projects into fiscal 2009 as well as fiscal 2008 capital requirements being less than anticipated. We do not expect a decrease capital spend to impact operating results in the remainder of fiscal 2008 or limit our future growth opportunities. I will now turn the call back over to Mike.
Michael Bradley: Thank you, Kevin. We expect to see a strong finish to our fiscal year and expect revenues to be between $720 and $740 million with annual gross margins in the range of 10% to 11%, an annual SG&A in the range of 5.5% to 6% of revenue. We are focused on carrying through on our existing contracts and strengthening our underlying businesses. We look forward to bringing you up to date on the Company’s activities and performance on our next conference call and thank you for your continued support. With that, we are ready to open it up for questions.
Operator: Thank you. Ladies and gentlemen, at this time, we’ll be conducting a question-and-answer session. (Operator Instructions) Our first question comes from the line of Matt Duncan with Stephens.
Matt Duncan – Stephens Inc.: Good morning, guys. First question I’ve got here, just a couple of things on this LNG Project. Mike, if I remember correctly, you had a $3 million contingency in the $16 million charge you guys took in the second quarter. Should we take this $2.5 million charge is meaning you’ve used up all of that contingency or is some of that left? .
Michael Bradley: That is correct. In the charge that we took in the third quarter is on top of the $16 million and it also contains contingency in that number as well, approximately $1.6 million.
Matt Duncan – Stephens Inc.: So you have $1.6 million in contingencies remaining for finishing off the project and getting tank three done on time.
Michael Bradley: That’s correct.
Matt Duncan – Stephens Inc.: Another question on this job, if I’ve heard correctly, I guess back fill has been awarded force majeure on this job and I’m curious if you can comment whether or not you guys have. My recollection is that tank three’s due date was April 27th; is that still the same date or has there been some pushback for that that would allow you a little more time.
Michael Bradley: Well regarding tanks, I can’t comment on back fill’s force majeure. Regarding tanks one and two, we delivered those tanks both on the original contractual date so we did not need any extension. We have been discussing weather delays on this project. But at this point and time, we’re going to continue to focus on meeting our contractual dates.
Matt Duncan – Stephens Inc.: So you’re still trying, you’re still shooting for the April 27th date then?
Michael Bradley: We’re still shooting to complete the project in April as well as discuss some of the weather delays that we have experienced in the first quarter; I’m sorry, the first quarter this year.
Matt Duncan – Stephens Inc.: Sure. So is it your… I guess, should we be looking at this as though you still expect to have this job completely finished by the end of your fiscal 2008?
Michael Bradley: Yes, there may be some demobe [sic] and clean up that goes on beyond that, but in terms of the tanks, all the work will be completed.
Matt Duncan – Stephens Inc.: Great. I appreciate that commentary. On the gross margins, you guys have done a really, excluding the LNG Project, your gross margins have really been expanding nicely. I’m curious if you can talk a little bit about what’s behind all of that strength and how sustainable do you think these margin increases are as we look out into ’09 and beyond?
Michael Bradley: We continue to see strong margins going forward. Again, as I mentioned earlier, we are focusing on building quality backlog within our core businesses that we can execute extremely well and focusing on continuing to build those margins going forward. So we don’t see right now any changes to that going forward.
Matt Duncan – Stephens Inc.: Mike, you talked a little bit about fiscal 2009, but as we’re getting closer to the year here, it sounds like your business is shaping up to have a pretty good year. What type of top line growth should we be thinking about? I guess your top line growth, your revenue growth has been slowing a little bit the last 3 quarters. I’m curious, is there any timing in there or some projects being pushed back a little bit and kind of what type of growth should we be thinking about for your business in 2009 at this point?
Michael Bradley: Well let me talk about, first of all, we’ll present our physical year ’09 outlook in June as we have normally done in the past. What I will say is this, two things, one is: Obviously we are focusing on top line growth in our business but very importantly, and again I want to emphasize that we are heavily focused on improving bottom line growth, including the execution of our projects and the profitability of our projects. So we are focusing on both. Our stated growth has been in the 8% to 12% range what we stated onto the Street in terms of over a period of time and obviously we want to be in a position to do better than that.
Matt Duncan – Stephens Inc.: So do you feel like the demand is there then to do better than that and it must matter of finding the employees? On that note, are you still able to find the people you need to put up the kind of revenue growth that you guys I believe are capable of?
Michael Bradley: I mean resources as we have talked and as the industry talks has been a challenge. We continue to add and build crews. As I mentioned, also a key part of this is leadership talent we’re expanding and we have been successful in doing that. So our focus is on continuing to expand that capability, (inaudible) recruiting effort. In fact, one of the reasons for our increase in G&A has been we’ve really stepped up recruiting to add (inaudible)…
Matt Duncan – Stephens Inc.: Right. Then last question and I’ll hop back in queue here, Mike. If I look at your buyback program, you guys bought about 730,000 shares in the quarter. Refresh my memory in how big that program is and with the stocks still kind of below the average price that you bought at during the second quarter should we should expect to see you guys buying more stock here in the third, or sorry, sorry than the third quarter, should we expect to see you guys buying more stock on the fourth quarter here?
Michael Bradley: We had 1.3 million authorized or left authorized to purchase, so we purchased like I said around 730,000 shares. I will say that we continue to look at our stock purchase program going forward as we continue to say and will continue to emphasize, our price is extremely undervalued.
Matt Duncan – Stephens Inc.: Right. Well I appreciate the commentary, Mike. Thanks a lot.
Operator: Our next question comes from John Flanagin of First Analysis Securities Corp.
John Flanagin – First Analysis Securities Corp. : Good morning, guys. Question on the repair and maintenance side: I know you guys were advising the Street that you expected a slowing in downstream petroleum and in electric and instrumentation this fiscal year. But I’m trying to understand the context for that and I can think of only I guess two or three options. One would be: Is this a function of customer concentration? Second, does it reflect demand on capacity and the difficulty for operators taking capacity out of service for a period?
Michael Bradley: Regarding our turnaround business, we service, we have core markets that we service. 2007 was a heavy turnaround… Fiscal year 2007 was a heavy turnaround year and as we explained upfront going into ’08, we expected that to be down. We are seeing, again, more strengthening in that market for ’09, and I think we expect also to see a strengthening in construction opportunities associated with that as well. So it’s really our core markets that have been, that have really driven the change in the revenue forecast year-over-year. Additionally, what I want to say that is we have continued to look at expanding our markets in the maintenance turnaround area as well.
John Flanagin – First Analysis Securities Corp. : Into different verticals? Mike, a follow-up: Would you expand it into different industries or verticals?
Michael Bradley: Primarily right now our focus is in different geographies.
John Flanagin – First Analysis Securities Corp. : If I may follow-up then, it’s interesting perhaps that your customer-base on the repair and maintenance side for downstream and ENI seems to have been moving somewhat in unison and that makes me wonder if there’s a cyclical phenomenon at work there, if you guys perhaps gave up a little market share or how you interpret that.
Michael Bradley: No, in fact, we haven’t given up market share. A point that I'll make is: If you look at the 9 months, our repair and maintenance revenues are up for the 9 months compared to last year. So looking at that, even though we expected a downtrend, we have continued to build our repair and maintenance business year-over-year.
John Flanagin – First Analysis Securities Corp. : Thank you. That’s helpful. I’ll get back in queue.
Operator: Our next question comes from the line of Martin Malloy with Johnson Rice & Company.
Martin Malloy – Johnson Rice & Company: Good morning. First question, on the 800 million of projects that you’re pursuing that you mentioned on the call, would the margins associated with those, would those be above what you were realizing in the second half of the year excluding the LNG Projects on the construction side?
Michael Bradley: The opportunities that I mentioned are opportunities that are related to our core business. These are new tank; these are repair and maintenance opportunities, turnaround opportunities, so they’re the types of projects that fit right in line with our core capabilities. In a go forward basis, we would expect to experience the kind of margins that we’ve experienced in the past year. The market’s very strong. These are not projects that are outside of our core capabilities at all.
Martin Malloy – Johnson Rice & Company: In the press release, you mentioned $150 million over 3 years for this refinery maintenance contract renewal. How does that get treated as far as backlog purposes? Do you book all of that part of that?
Michael Bradley: Our practice is to include only 12 months of time and material contracts and backlog, which we believe is consistent. Of this amount, we currently have around $40 million in our backlog.
Martin Malloy – Johnson Rice & Company: Thank you.
Operator: (Operator Instructions) Our next question comes from the line of Tahira Afzal with Keybanc.
Tahira Afzal – Keybanc Capital Markets : Good morning, gentlemen. Just to start with, could you give me an idea of why you brought the top line guidance down from 750 to 740?
Michael Bradley: Well we gave a range in Q2 of 700 to 750 and we just narrowed that range.
Tahira Afzal – Keybanc Capital Markets : Is there a particular reason that narrowing of… I guess, what’s changed that’s brought it down from 750 to 740?
Michael Bradley: I don’t think anything’s changed; that was just a range that we gave early in the year and we’re expecting to be in that 720 to 740 range for the remainder of the year. Nothings really changed our outlook.
Tahira Afzal – Keybanc Capital Markets : So I guess another way I can ask this perhaps is: If you look at that range, what would be the drivers driving it from the bottom end of the range to the upper end?
Michael Bradley: Well I think that what’s out there in terms of opportunities, number one, we have projects that we have experienced some slippage in in Q3 as a result of permits, so weather can impact when projects start. Additionally there’s emergency work that could be undertaken during the quarter and additional turnaround work that could come up, so there’s a lot of factors that could impact that range. But we feel pretty confident that we’ll be in that range.
Tahira Afzal – Keybanc Capital Markets : Then if I look at your breakdown of your segments, it seems that sequentially you saw a bit of a slowdown in your storage tank construction revenues, and I look back to last year and that wasn’t the case. Should I assume that something’s going on other the fact it’s just lumpy?
Michael Bradley: We haven’t seen any slowdown in our storage tank business.
Tahira Afzal – Keybanc Capital Markets : Right. But I mean if I look at your revenues, right, and the breakdown of your revenues as you’ve given them, your construction revenues for storage tanks was around 51 million or so, is that correct, and in the previous quarter it was 58 million. I was just trying to understand if there was anything specific in the difference or whether that’s just seasonality and lumpiness.
Michael Bradley: Oh, you’re talking about quarter-over-quarter.
Tahira Afzal – Keybanc Capital Markets : Yes.
Michael Bradley: A lot of that’s driven by seasonality and weather.
Tahira Afzal – Keybanc Capital Markets : So I shouldn’t read anything into that, and you think like the 58 million number that you saw in second quarter is not like an exceptional number, i.e., it’s something that could be done again?
Michael Bradley: Well we don’t give quarter-to-quarter revenue guidance, but what I will say that third quarter is typically our lower quarter so…
Tahira Afzal – Keybanc Capital Markets : Okay, that’s fair enough. Then if I look at your downstream business on the construction side, it seems to be still holding out exceptionally strong; and I was wondering is there on the construction side, is there anything big that you’re still working on or is that just a broad-based trend?
Michael Bradley: We’re just seeing a broad-based trend as many people are in terms of opportunities.
Tahira Afzal – Keybanc Capital Markets : The other thing I heard was a couple of new customers who have sort of moved in and purchased old tanks in the cushioning area. I was wondering if you were getting anything. What I’ve heard is some of them might be tearing down old tanks and building new tanks and I just wanted to see… I don’t think I’ve heard you be this bullish every before on your opportunities, so I just wanted to see what you’re seeing out there, it seems to pretty visible to you right now.
Michael Bradley: Well we see cushioning as one area that continues to be very active. But we are seeing a lot of activity in terminals really across the country. Again, cushioning remains very strong and we are pursuing opportunities really in several regions across the country right now. So the activity remains very strong and we’re very bullish on it.
Tahira Afzal – Keybanc Capital Markets : Fair enough. Then if I look at your fiscal year ’08 revenues, in essence that’s approximate something that you end up having so let’s 75 to 80 million coming from your specialty tank specialty business. As you look into fiscal year ’09 and you look to replace that business as the LNG business goes away, do you feel you have enough opportunities in your core businesses and is there anything outside of the core businesses that you’re looking at as well?
Michael Bradley: Well in terms of replacing the LNG revenues, as I stated early on, our focus has been replacing that with opportunities in our core markets, lower risk, and higher margin and we have more than offset that year-to-date; and we continue to focus on building that backlog. As I also mentioned, we’re bringing people off the LNG Project, a very talented group of people and we currently fitting work and negotiating work in the Gulf Coast and other locations for those individuals to take over once we get the job done and get these people moved into other business lines. All of this is really within our core. We’re really focusing on staying in our core. We’ve got some expansion opportunities in other areas and we’re building capabilities, for example, power as well.
Tahira Afzal – Keybanc Capital Markets : Great. One last question and that’s in terms of the competitive landscape. You said you renewed an alliance. You’re looking at sort of increasing and growing. Is that just pure demand picking up or is this a market share gains and growth as well? Then in connection with that, I know that what (inaudible) Group recently bought in (inaudible) and I was wondering, I mean is that sort of a competitor that you’re seeing on the tank side, or do you guys not compete in the same areas at all?
Michael Bradley: Well let me comment on the competitive landscape and our alliance. We’ve actually in the past quarter or quarter and a half added two significant alliance agreements, one on repair maintenance and one for new tank construction. Really these are driven around, there’s a strong demand for tanks, but also very importantly is our customers want space and availability of our crews and our fabrication in order to meet their schedules and plans and so that’s I think a very important element of our alliance agreements. In terms of competition, there’s several competitors in the tank business throughout the country and there’s plenty of work to go around so.
Tahira Afzal – Keybanc Capital Markets : Fair enough.
Michael Bradley: We’re not seeing any change there.
Tahira Afzal – Keybanc Capital Markets : Great. I just actually had one last question and I’ll step back in the queue. The charges you’ve taken, from what I understand, typically what was the cut-off date for you in terms of assessing what the charges were on the energy tank? I assume they stretch beyond February.
Michael Bradley: Yes.
Tahira Afzal – Keybanc Capital Markets : Right. So would they go till mid March would you say?
Michael Bradley: Really through today.
Tahira Afzal – Keybanc Capital Markets : Really, excellent. Thank you very much.
Operator: Our next question comes from the line of John Flanagin with First Analysis Securities.
John Flanagin – First Analysis Securities Corp. : Hi. Just two follow-ups for me: First, I’m sorry, could you repeat the February quarter cap ex number and your expectation for the full fiscal year ’08 on cap ex?
Kevin Cavanah: Sure, just give me a second.
John Flanagin – First Analysis Securities Corp. : You bet.
Kevin Cavanah: We’re $13.1 million through the first 9 months on cap ex and we’ve analyzed it and believe that our cap ex will be in the range of $19 to $21 million for the full year.
John Flanagin – First Analysis Securities Corp. : Thanks, Kevin. Then looking again at today’s release and Mike’s comments on outlook, the 10% to 11% consolidated gross margin expectation, when you talk about that, you’re not saying anything about fiscal ’09, am I correct?
Michael Bradley: That’s correct. No, this is just fiscal ’08.
John Flanagin – First Analysis Securities Corp. : Yes, because your margin performance, as others have noted, has really been impressive and I just wanted to make sure I was understanding that correctly. Thanks, guys.
Operator: (Operator Instructions) Our next question comes from the line of Matt Schwartz with JLF Asset Management.
Matt Schwartz – JLF Asset Management : My questions have been answered. Thank you.
Operator: Being as there are no further questions, I’d like to turn the call back to management for any concluding remarks.
Michael Bradley: Well again, we want to thank everybody for your participation on the call today. I want to reiterate that we are very excited about our future opportunities. We have done I think a tremendous job of getting this LNG Project completed on time according to our contractual commitments which is allowing us I think to add resources and focus on the future. I’m very pleased with the quarter and the progress we are making and we have a very strong team here at Matrix and we continue to build on that. We look forward to physical 2009 and a lot of exciting things we see coming down the pipe. So thank you again everybody and have a good day.
Operator: Ladies and gentlemen, this concludes today’s teleconference. Thank you for your participation.